Operator: Ladies and gentlemen, thank you for standing by. And welcome to the GoodRx First Quarter 2023 Earnings Call. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's call, Aubrey Reynolds, Senior Manager of Investor Relations. Ms. Reynolds, you may begin.
Aubrey Reynolds: Thank you, operator. Good afternoon, everyone, and welcome to GoodRx's earnings conference call for the first quarter 2023. Joining me today are Doug Hirsch, our Chief Mission Officer; Trevor Bezdek, our Chairman; Karsten Voermann, our Chief Financial Officer; and Scott Wagner, our Interim Chief Executive Officer. Before we begin, I'd like to remind everyone that this call will contain forward-looking statements. All statements made on the call that do not relate to matters of historical fact should be considered forward-looking statements, including without limitation, statements regarding management's plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance, the impact of the grocer issue on our business, underlying trends in our business, our potential for growth, collaborations and partnerships with third parties, and the expected impact from macroeconomic environment on our business. These statements are neither promises nor guarantees but involve known and unknown risks, uncertainties and other important factors. These factors may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Factors discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2022, as updated by our quarterly report on Form 10-Q for the quarter ended March 31, 2023, and other filings with the Securities and Exchange Commission, could cause actual results to differ materially from those indicated by the forward-looking statements made on this call. Any such forward-looking statements represent management's estimates as of the date of this call and we disclaim any obligation to update these statements, even if subsequent events cause our views to change. In addition, we may also reference non-GAAP metrics, which are reconciled to the nearest GAAP metrics in the company's earnings press release, which can be found on the Overview page of our Investor Relations website at investors.goodrx.com. I'd also like to remind everyone that a replay of this call will become available there shortly as well. With that, I'll turn it over to Doug.
Doug Hirsch: Thank you, Aubrey. Good afternoon, everyone, and thank you for joining us. We started GoodRx 12 years ago, because we were passionate about helping consumers access and afford the care they deserve. We are so proud that the company we built has become a service that millions of consumers rely on. Since those early days, much has changed, and our business has evolved into something bigger than Trevor and I ever dreamed. We've saved Americans over $55 billion on their medications and our team has launched entirely new business lines, including pharma manufacturer solutions, which enables us to make brand drugs more accessible, and GoodRx Health, which we believe offers some of the best and most trusted online health content. It's been both exciting and rewarding to build a business that enables us to help even more people in more ways. Trevor and I love what we do, but we also recognize that an important part of expanding our impact includes generating gross margins and profitability. We've always known that there would be a time when there would be others better equipped than us to run and grow a large public company. And I'm proud to say that we found that person in Scott Wagner, who has agreed to step in as our Interim CEO. Scott brings more than 25 years of experience running and scaling consumer technology companies that are leaders in their field, including public companies, and has the knowledge and expertise needed to enter the next phase of our company's growth. In 2012, Scott stepped in as Interim CEO at GoDaddy, and went on to become President, COO, CFO, and then CEO. During his tenure, he took the company public, nearly tripled revenue to approximately $3 billion, grew the business profitably and managed over 7,000 employees. Scott also has experience working with our sponsors, Silver Lake, Francisco Partners and Spectrum Equity. I've been working alongside him for the past two weeks and have already seen him put his breadth of experience into action. Trevor and I are excited about what Scott's new perspective will bring.  It's no secret this past year has been rough. Our results have disappointed us as well as our stakeholders. And we believe the time is right to have someone lead the company who has extensive experience running and growing public companies. We truly feel this is just the beginning of what GoodRx can accomplish. We love GoodRx and wanted to succeed more than anything else. Trevor and I are remaining at the company and are committed to supporting Scott and the business. I have taken on the role of Chief Mission Officer. And I'm so excited that I get to focus on doing what I love most, evangelizing the company's mission to external parties. Whether it's physicians, manufacturers, pharma or other partners, I will spend my time talking about all the amazing ways we aim to make healthcare affordable and convenient for Americans. I will now pass the call over to Trevor.
Trevor Bezdek : Thank you, Doug, and good morning, everyone. As Doug mentioned, we recognize the challenges both our business and our stock performance have faced over the past couple of years. We are still recovering from the impact the grocer issue we had on our core business. We haven't driven product innovation forward as quickly as we planned to and our pharma manufacturers solutions offering has faced continued macroeconomic headwinds with the spending delays and reductions we discussed in our fourth quarter earnings call in February, which have contributed to uneven execution to-date. We don't take this lightly. And we understand the importance of bringing in someone at this juncture who can drive the business forward faster. We are incredibly lucky to have Scott on board. He has extensive experience transitioning businesses from founding teams into highly successful public companies. He's already identified ways to improve and potentially grow the business, accelerate our long-term plan and platform expansion, and drive efficiency and margin. We are confident that this move is coming at the right time. Our business remains very attractive. We have a core prescription business that endured an unexpected disruption over the past year, but it's fundamentally a category innovator in a large growing market.  We believe our pharma manufacturer solutions efforts are delivering compelling ROI to customers but still in the early days. We need to continue to build scale and repeatability. We believe this leadership transition will accelerate our growth and performance and reflects our enthusiasm about the opportunity for GoodRx over the years to come.  In my new role as chairman, I'll continue to leverage my deep network of industry relationships, and extensive knowledge of the healthcare industry to support Scott. With our overall healthcare strategy, strategic partner relationships and product innovation, I get to focus on supporting the business structure and strategy, the stuff I love.  Before I turn the call over Scott, I want to discuss the highlights from this quarter, which we view as evidence of our strong value proposition and our very underpenetrated TAM, deep competitive moat, and incredibly loyal consumer and prescriber users with whom we have a 90 NPS. There are four key areas where we saw the most success in Q1: One, our hybrid strategy; two, our engagement efforts; three, our recent ability to rapidly adjust consumer pricing which is driving more volume for us; and four, our collaboration with Express Scripts.  First, we began implementing a hybrid approach, where we formalized relationships with our retail pharmacy network to ensure stability and mutual success for all parties. The early success we've had with this strategy has led us to increase the number of retail pharmacy partners we're directly contracting with, as well as the proportion of claims associated with direct contracts. It has allowed us to understand their needs better and more deeply engage with these retailers. We believe we are creating incentives to encourage greater use of GoodRx and drive incremental volume through these retailers.  Second, as we work toward creating more meaningful direct consumer and provider relationships, our engagement efforts continue to play a critical role. As of the end of the first quarter, we are pleased that the proportion of prescription transaction from fully registered consumers has continued to increase after doubling in the second half of 2022 and that over 450,000 prescribers have engaged with us and Provider Mode since its launch.  Third, we have found innovative ways to be able to rapidly adjust consumer pricing through point of sale discounts to optimize around demand elasticity on a per medication basis. We've increased our total spend on consumer facing discounts from $24.7 million in all of 2022 to $10.9 million just in 1Q '23. We believe that much like consumer product brands who leverage coupons, our ability to catalyze user behaviors are highly effective.  And fourth, our PBM partners can benefit from the increased retailer network stability our hybrid strategy creates, and we are innovating the ways to do even more with them. A prime example is our Express Scripts integrated saving collaboration, Price Assure powered by GoodRx, which is one of our most exciting new initiatives. Early performance indicators across this innovative program continue to show promising signs. And we can report we saw greater than expected momentum via the Express Scripts program, particularly towards the end of the quarter. The Express Scripts collaboration helps remove the need for consumer education on prescription savings, and provides more transparency and price awareness automatically across the healthcare system by allowing eligible users to automatically receive GoodRx discount prices as part of their pharmacy benefit. It's built right into their card, with no action required on the consumers' part.  Express Scripts continues to educate and enroll plan sponsors across the balance of their commercial book of business. We believe this program opens up a significant new segment of the prescription savings TAM for us and we are seeing great early results. We can say definitively we're reaching more consumers through this partnership, driving greater savings and improving awareness and affordability. We aspire to broaden our reach further through arrangements with additional PBMs.  We believe our pharma manufacturer solutions platform has great potential based on the feedback from clients and the ROI those clients are achieving, but it operates with different pacing and it’s more nascent. We are still building out our execution abilities in this offering with respect to our product investments and learning how to predict outcomes more accurately. We are also working on increasing our synergies across GoodRx Health and Provider Mode to drive awareness. I will now turn the call over to Scott.
Scott Wagner: Thanks, Trevor. First, I'd like to take a minute and applaud Trevor and Doug for all they have accomplished over the last 12 years. Under their leadership, GoodRx grew into a leading digital healthcare platform, serving over 7 million consumers a month. Trevor and Doug are smart, creative people, who have built a category-defining company. I've got an incredible respect for both of these guys, both what they built at GoodRx and who they are as people. I'm thrilled to be here and to contribute to the next leg of the GoodRx journey. As Trevor and Doug mentioned earlier on the call, I've got a bunch of experience helping companies deliver growth at scale, while building exceptional customer experiences. Personally, I really enjoy building companies and doing so the right way, companies that do unique and valuable things for their customers, that continue to innovate and grow to deliver attractive financial returns and have high performing teams. I'm excited to join GoodRx, not just for what the business is today; but more importantly, for what it can be, and for how I can help right now. There is a lot to like about the GoodRx of today. GoodRx has a unique value proposition as the leading prescription savings marketplace. GoodRx has a true brand, loved by both patients and healthcare professionals alike, with Net Promoter Scores approaching 90. That's pretty incredible. GoodRx plays a unique role in the prescription ecosystem, providing value to patients, providers and manufacturers alike.  There is a lot of opportunity here. GoodRx has a huge TAM with interesting opportunities to expand from the discount card space to serving a larger portion of both Medicare and commercial plans. GoodRx has demonstrated product market fit with pharma partners, building a meaningful business from scratch in a really short time period. We believe this business has growth because it's incredibly useful to customers and manufacturers alike. GoodRx is unique in that it touches a vast array of constituents across the healthcare ecosystem spanning patients, providers, retailers, PBMs and pharma manufacturers. This ecosystem-wide foundation is our basis for further expansion. It's also clear that GoodRx can do some things differently. I believe we need to do a better job of identifying and prioritizing the things that matter and are most impactful. We also have to evolve our execution against these opportunities, making sure that we execute with quality and with urgency and meet our commitments to each other in the company and to all of you. I've been around the block a bunch, GoDaddy being the most visible but also before that with the private equity firm KKR, leading businesses from one stage of evolution to another. While not driven by a playbook per se, there is a combination of strategic insight, execution and team alignment that can help here.  As I jump in as Interim CEO, there is a couple of key areas that I plan to drive and focus on with the team. First, making sure that, we have the strongest network relationships and retail pharmacies strategy possible; two, honing our short and medium term growth plans for the core prescription business and aligning teams and resources behind it; three, scaling our pharma manufacturing solutions efforts, there is a lot of goodness here. We've got a very unique capability in branded pharma that can benefit both patients and manufacturers alike. While our offerings in this area are nascent, we believe early proof points have been extremely positive with pharma customers, being really strong valued given our high intent audience that spans both patients and healthcare professionals. It's particularly valuable for the awareness and access solutions that they've been promoting. We're going to lean into these high ROI solutions, and focus on driving further product innovation, expanding our brand reach with existing partners as well as landing more lighthouse brands with new manufacturers. If we get this right, I'm confident we're going to be able to turn manufacturer solutions into a larger and more profitable business over time. Finally, we're going to put our combined efforts against our biggest opportunities, make decisions, and then execute with quality and with urgency.  For the investors on the call, I'm a big believer in transparency. GoodRx has experienced some uneven performance over the past 12 months, and no one likes that. We need to get up to a place where we can provide clear ranges of growth and profitability to our investors, deliver against those ranges consistently barring any external and exogenous events, then lay out longer term plans and milestones over a three plus year period of time. Right now, our financial expectations represent our team's best thinking. As I dig in more with the teams, I'll be open with everyone on my thoughts on what our and your financial expectation should be for GoodRx with a focus on building multiyear value, while hitting our short-term commitments. With that, I'll turn it over to Karsten to discuss the quarter in more detail and our priorities going forward. And I look forward to both working with and speaking with everybody in the months to come. Thanks. Karsten?
Karsten Voermann: Thank you, Scott. We recognize everything is going to be focused on what’s to come. So I'll provide short commentary on the first quarter, and then get to guidance before turning it over to the operator for Q&A.  In summary, during the first quarter, we exceeded guidance on revenue, adjusted EBITDA and adjusted EBITDA margin with those coming in at $184 million, $53.2 million and 29% respectively. Going into more detail, total revenue for the quarter decreased 10% year-over-year to $184.0 million as I mentioned. Prescription transactions revenue growth was down 13% year-over-year to $134.9 million, but up quarter-over-quarter by 4%. MACs declined 5% year-over-year to $6.1 million, but increased 3% quarter-over-quarter. PTR volume excluding the grocer involvement previously discussed grocer issue has continued to grow consistently, is up 3% sequentially and 16% year-over-year for 1Q '23. The year-over-year declines were largely driven by the grocery issue. Our PTR also benefited from unexpected one time contributions as we expanded our efforts to ensure our network counterparties were adhering to the contracts we have in place, which resulted in unanticipated revenue gains of approximately 1% in our PTR offering late in the quarter with essentially 100% flow through to adjusted EBITDA. Our pharma manufacturing solutions revenue declined 13% year-over-year in the first quarter to $20.4 million. Our focus is on signing deals with high levels of recurring revenue potential. So we did not do deals with one time customers as we did in 1Q '22. We're pleased with the trajectory we have achieved and the quality of campaigns we're running. We remain very optimistic about this offering long-term.  Turning to subscriptions, subscriptions revenue grew 26% year-over-year to $24.1 million as the Gold membership fee increase implemented in the first half of 2022 more than offset the negative impact from Kroger Savings Club, and related reduced marketing of the program and price increase related to Gold user churn. We ended the quarter at 1.0 million plans, down 16% year-over-year.  Cost of revenue were $16.7 million, or 9% of revenue versus $12.3 million, or 6% of revenue in 1Q '22. The increase in personnel costs related to consumer support and allocated overhead from the vitaCare acquisition primarily drove the year-over-year increase. Product development and technology expenses were at $32.9 million, or 18% of revenue, which compared to $35.0 million, and 17% of revenue in 1Q '22. Decrease in absolute dollar is primarily driven by a decrease in payroll and related costs and higher than expected level of capitalizable labor based on our quarter end analysis.  Sales and marketing expenses were $78.5 million, or 43% of revenue versus $93 million, or 46% of revenue in the first quarter of 2022. As we have discussed, we're proactively managing marketing spend in the current environment and finding ways to leverage our brand while getting higher return on each dollar invested. I'd like to take a moment and delve deeper into one aspect of our marketing program, point of sale discounts for consumers. POS discounts allow GoodRx to take control of the amounts consumers pay in a rapid targeted manner that is similar to couponing by consumer packaged goods companies. This enhances our ability to fulfill our mission on medication affordability. We can deploy this tool against specific medications and to drive specific behaviors, including, for example, our engagement efforts.  Last year, we disclosed in our 10-K, we spent $24.7 million on these efforts, and we believe we've been able to continue to make the spend effective at scale. POS discounts are one of the many tactics at our disposal to help secure great pricing for our consumer in what we believe to be an extremely targeted and effective manner. This then contributed to our ability to drop sales and marketing expenses as a percent of revenue in mid-2022 even as their use of POS discounts grew.  In the first quarter we spent a total of $10.9 million, $9.5 million of which is included in sales and marketing, and $1.4 million of which was contra revenue, meaning that instead of hitting OpEx, it reduces revenue and also reduces our growth rates. That is similar to the contra revenue accounting treatment of coupons in the CPG space. The P&L geography of contra revenue versus sales and marketing expense for our POS discounts has no impact on adjusted EBITDA.  General administrative expenses were $29.6 million or 16% of revenue versus $31.9 million or 16% of revenue in the first quarter last year. The decrease is primarily driven by a decrease in stock-based compensation expense related to the co-founders' awards granted in connection with our IPO. Net loss of $3.3 million compared to net income of $12.3 million in the first quarter of 2022 and was impacted by lower sales volumes related primarily to the grocer issue, integration costs related to vitaCare and fluctuations in our quarterly estimated tax provision, partially offset by lower sales and marketing expense. Adjusted net income was $29.5 million, compared to $41.3 million in the first quarter of 2022. Adjusted EBITDA decreased 18% year-over-year to $53.2 million which was ahead of expectations and up 7% quarter-over-quarter. Given the PTR offering has very little incremental cost per transaction, the impact on our PTR volume from the grocer issue, and to a lesser degree, pharma manufacturer solutions revenue, were the biggest drivers to the year-over-year performance. Adjusted EBITDA margin of approximately 29% was down 290 basis points year-over-year, while improving 200 basis points quarter-over-quarter. We generated net cash provided by operating activities of $32.3 million compared to $30.1 million in the prior year period. Our capital allocation priorities are unchanged and we will continue to focus on high return investments and maximizing value for shareholders.  Our balance sheet remains strong and we ended the quarter at $761.1 million in cash on the balance sheet and $665.3 million of outstanding debt. Our revolving credit facility had $90.8 million of unused capacity, representing total liquidity of $851.9 million. Now on to guidance. Our outlook for revenue is $185 million to $188 million for 2Q. And for the full year, we expect total revenue of $750 million to $775 million. Both of those numbers are net of anticipated POS discount contra revenue of $1 million to $2 million for the second quarter and around $10 million for the full year. As we said earlier, the portion of POS discounts that our contra revenue reduces revenue and our growth rate versus traditional sales and marketing expense treatment. The POS discount contra revenue amounts were not included in our prior guidance numbers, given their evolution. It has no impact on adjusted EBITDA, since the value ascribed to contra revenue would otherwise hit S&M expense. We have reduced our pharma manufacturer solutions outlook for the coming few quarters as we aim to ramp up a series of large programs, which have been either recently implemented or are in our late stage pipeline, a material portion are pay-for-performance providing upside for us. We believe our customers have been very pleased with them, but they are less predictable for us than our historical flat fee deals, which contributes to us lowering the bottom end of our annual guidance range.  To provide context, our pharma manufacturer solutions offering is still nascent. While we believe early proof points have been strong in terms of customer satisfaction and ROI, our product innovation and delivery processes are still in early stages. Manufacturer solutions revenue was less than $20 million in 2020. Since then, we have learned and progressed as we grew the revenue to 5x that amount through 2022. We have increased the types of clients we work with and the offerings we sell to them. We believe that we are now in a position to put energy and resources behind the deal constructs that work the best for our clients and ourselves. For example, in terms of clients, we found focal points in women's health and diabetes. And on the offering side, we are focused on a couple of areas. First, driving prescriber usage, a newer growth vector for us, where we've seen Provider Mode MAUs double since December 2022 and where we are leveraging over 450,000 providers, who have engaged with our Provider Mode offering since its launch, already resulting in multimillion dollar contributions to pharma manufacturer solutions revenue. Also on the offering side, we have seen increasing number of pharma manufacturers interested in creating cash solutions for branded medications, leveraging our direct, bottom of funnel consumer marketing capabilities. One example is our dot com point of sale solution, which provides savings of $200 for consumers.  Overall, we believe that our pharma manufacturer solutions pipeline is robust. And we're very excited about the long-term potential of this offering. But we're in the early innings. Predicting the timing of when we can close and deliver on some of the lumpier, large deals is tricky for us. We're also more focused than ever on recurring revenue, which means we're forgoing potentially multimillion dollar onetime revenue deals that we took in the past. We believe a highly sustainable and highly valuable pharma manufacturer solutions business has to be founded on a growing base of repeat usage. Moving on to second quarter guidance by offering, we expect prescription transactions revenue of approximately $132 million to $134 million net of the anticipated impact of POS discount revenue reductions of approximately $1 million to $2 million. Our expectation for PTR per MAC is to show a modest decrease over the coming quarters, as we focus even more on driving volume with retailer pharmacies through our hybrid model. And we experienced the seasonal impact of more consumers potentially hitting their deductibles, impacting our Price Assure Express Scripts collaboration. We expect subscription revenue of approximately $23 million to $24 million in the second quarter, which at the top end is relatively flat quarter-over-quarter as we're nearing the anniversary of their fee increases implemented last year and expect to see less churn in future quarters. We expect pharma manufacturer solutions to return to sequential growth in the second quarter with revenue of approximately $26 million, up 27% quarter-over-quarter.  Finally, we expect other revenue to be approximately $4 million in the second quarter.  As we mentioned in our last call, we continue to have additional marketing investments we anticipate making in the coming quarters and will remain opportunistic as we structure the timing of those investments. As a result, we expect our adjusted EBITDA margin to be in the mid-20% range for the second quarter. With that, I'll now turn it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from a line of Stephanie Davis with SVB Securities.
Stephanie Davis: Scott, welcome to the team. I was hoping to hear a little bit more about growth at scale just because, that's becoming a bit of your catchphrase. I want to hear mainly about the growth aspects. From the prepared remarks, the presentation, is it correct to assume that you will be focused on the turnaround in manufacturer solutions and you are focusing on Provider Mode? Or just given the scale of your consumer facing brand, are you looking at any of the growth new areas like GLP-1 or other things like that where you could really get bigger?
Scott Wagner: Thanks, Stephanie. So there's a whole bunch of things underway and rather than go through all of them, there's a couple that are incredibly promising that are already showing great signs of life. So in the core prescription marketplace, we've got this fantastic and unique value proposition. And there's a whole bunch of ways that are reflected in our merchandising and pricing within that marketplace to make sure that we get the most affordable prescription for a particular drug branded or generic to consumers. So if you think about that value prop, that moves in a couple of different ways. One of what's in the marketplace is expanding to additional value propositions, not only for cash pay but particularly against Medicare and commercial insurance. And there's again some wonderful things underway that really opens up the promise of what GoodRx can continue to become.  Going back to pharma man sol, just think about that marketplace and that intersection of having a branded drug show up with a price point and the right price point that both a manufacturer wants and delivers incredible value to consumers. That's sort of the core of manufacturing solutions. It's unique to GoodRx. And so when we talk about the kinds of things that we want to do more and do more at scale, it's leaning into the things that build up the business of GoodRx today, and kind of where we can take it.
Stephanie Davis: And then the next one is for Karsten just given -- you gave us a lot of color a moment ago with pieces on the guidance. But could you just help us size the grocer impact in 1Q and how to think about that going forward?
Karsten Voermann: Thanks for the question, Stephanie and good morning. Yes, the grocer contribution to revenue declined by roughly mid 30s and millions of dollars between 1Q '22 and 1Q '23. At the time of the grocer issue, the revenue derived from the grocer was also actually growing. But even if we ignore the growth, and just add the difference in revenue between the two quarters, then our total revenue would have been up approximately 8% year-over-year. If we look just at PTR, prescription transactions revenue, which is the most relevant component, which came in at about $135 million in 1Q '23, that number would have been about $170 million had the grocer revenue come in as it had last year, which would have put PTR growth at about 9%, but for the issue. Hope that's helpful.
Operator: Our next question comes from a line of Sandy Draper with Guggenheim.
Sandy Draper: Just one quick clarification for Karsten and maybe a question for Scott. Karsten on the revenue reduction, I'm trying to -- did I hear you right that the contra revenue issue was -- is now a factor of reduction, but it's also pharma solutions and just want to make sure I can understand the moving parts to that? So that's the first question. And then the second broader question for Scott and sort of follows up on Stephanie's. When you think about those growth opportunities, are there things that you think that you can change that could accelerate growth near-term or are these all things that are going to take a while and there's a lot of long-term growth, but there's not a lot of changes you can make to improve growth in the near-term? Thanks.
Karsten Voermann: Hey, Sandy, I'll take that first one since that's just a quick clarification. So our POS discounts are targeted incentive programs aimed at consumers, which are intended to drive behaviors like registering for an account or claiming a first fill, for example. So they're related specifically to our prescription transactions business. I think you'd alluded to the fact that they may have something to do with pharma man sol, but they do not. They're related to our prescription transactions business. And because a portion of the incentives are routed through customer arrangements, that's why they were treated as a reduction of revenue because we don't receive a distinct or service for them. When they're not routed through customer arrangements, then they are S&M. So again, focus wholly on the PTR business and driving specific behaviors on the part of our users like our engagement efforts, for example.
Scott Wagner: Yes, thanks. And then in terms of characterizing growth, if you think about the three things articulated earlier, let's really lean into the network and solidify it to its best extent. Second is PTR both be awesome at what we do and how do we expand intelligently. And then the third is man sol delivery and expansion. What I think those represent are long-term multiyear really strategically important things, where you put points on the board week-by-week, month-by-month, quarter-by-quarter. So there is a whole bunch of short-term things underneath each of those containers, but those are really multi-year events. So what does that translate into financial expectations and how do those build? I think it's really important right now for all of us to hit not only the range of commitments that we've just laid out but then work like how to get on top of it. And as these things land, we will be clear about what kind of impact they are going to have in the shape of the P&L going forward.
Operator: Our next question comes from the line of Charles Rhyee with Cowen.
Charles Rhyee: Yes, thanks for taking the questions. I guess first, for Scott and Karsten, when we think about the guidance here and the way you kind of characterized a lot of the parts of your business, looking at man sol as a nascent business and kind of looking at a lot of the areas that you described, it seems like you have kind of taken a step back in how you are seeing your position in the market and it looks at the surface that you are trying to manage sort of the expectations here of what to expect at least in the near medium-term. Maybe Scott, you can kind of opine here. As you have kind of evaluated where the company is at the moment, is this -- do you feel like, you have really level set sort of how you are seeing the business performing relative to then what you think you can do as we move forward from here?
Scott Wagner: Sure. Let me -- this is early week three officially. And so before going into guidance, maybe to take a little bit of a step back even over the last couple of weeks, I've been spending time with our team's leadership sort of with the priorities across the company, and have also had the opportunity to get to a bunch of customers, particularly in man sol. And have been doing a heck of a lot of both user flow reviews that have touched consumers and docs. And again, not deep coverage, but touching those three areas.  And the fundamental value proposition of GoodRx, both its marketplace and the value we provide, and then the extension of man sol to branded drugs and pharma manufacturers, it's really powerful. And that's super important point. So there is a solid foundation that we can build on here and there is things to do. Again, both in the core marketplace and in building up the man sol business.  In the team here, there is a heck of a lot of really good people, who are energetic, committed and talented. So when we think then about what's here, there is stuff to do, right? And I think everybody who is an investor in the company, if you look back at the value proposition of the company and think about ways to build the business, I think you are going to find a whole bunch of things that to be positive about. When we go to financial guidance -- I think the best thing I can do for you and for people on the call right now is almost give you my philosophy, which is, on guidance a range is the expected outcomes that based on our best knowledge we should deliver against. And so to me, that's been a commitment both places I've been before, public and private, again, based on what we know, and what the rhythm and pacing of the business is. And as a team, you don't just work like hell to meet your commitments, you do it to exceed them. But so the guidance range, that's coming out right now is our team's best estimate of the committed range of where we are. And again, we're getting -- we're working like crazy, not just to meet that commitment, but to have everything land that we think is important to build the business long-term and that should show up in the financial results.
Charles Rhyee: And then just maybe as a follow-up. If we think about -- we're seeing clearly a big focus on man sol here. And it looks like that's expected to be the big driver of the company, building off the scale base core business. When we think about the -- it seems like if we think about the piece that drive it, is it fair to say, it's really Provider Mode, a little bit, the main driver for man sol. How much does the subscription membership have been driving man sol growth? And then do MACs play a role in that as well? Is our understanding that pharma marketing kind of maybe ignores just the transactional members, really wants to focus on providers and subscribers since those are repeat customers per se? What's the relative value between maybe the different pieces, from a manufacturer's perspective when they look at the GoodRx platform and as a tool for them?
Karsten Voermann: Sure I will take that one. This is Karsten, Charles. So a couple of things. First of all, providers do provide an attractive growth vector for us. And with the launch of Provider Mode, we're seeing multimillion dollar revenue streams associated with provider only deals already. That said, when you think about it, when folks come to GoodRx, about a quarter of the folks visiting just the general users are coming to GoodRx to look for prescription -- branded prescription drugs, and good prices on branded prescription drugs. So those users even coming in as individuals are highly, highly valuable, they are bottom of funnel, script in hand, looking for an affordability solution, and that's very attractive to manufacturers. So both prongs, our original prong which is more consumer focused, and our newer growth vector, providers, are highly relevant. More broadly, I think, as we look at the business, the macro environment for pharma man sol, is a good environment generally. I think we've seen some short-term pullback by manufacturers in terms of spending. But we're continuing to see the ongoing shift to digital, which is a tailwind especially as we look forward. And our clients are confirming they're getting great ROIs. So from that perspective, we think that aspect of the business is also very solid. So we think it's really up to our execution. And as Scott said, there's some bigger lumpier deals in our pipeline. Some of them are more performance oriented. So we'll have to see how they track to know exactly how much revenue they'll generate. But we're looking forward to those with great anticipation and we expect to see Q-o-Q sequential growth going forward over the next few quarters.
Scott Wagner: I just add two quick things over the top. One is the real unique foundation of our marketplace is this intersection of consumers, their doctors and the drug itself. And if you're a branded manufacturer, you're spending outrageous sums of money in different media components to really get to that point and that's sort of the unique value proposition that GoodRx has today. If you're a branded manufacturer with any sort of cashback or copay cards that are really aimed at market access, we're phenomenal. You're seeing that in the campaigns and some of the feedback from manufacturers. So that's really just the super high return. And then in terms of awareness and hitting the audience, we're building up tools, whether it's Health or Provider Mode, but also allow people to reach audience. So there's really two components to kind of what we have that I think is long-term valuable to branded pharma.
Operator: Our next question comes from a line of Mark Mahaney with Evercore ISI.
Jian Li : Hey, guys, Jian for Mark Mahaney. Just a couple of questions. First, Karsten, just on PTR. To clarify, if you can kind of walk through like the magnitude of the grocer impact in the next few quarters? Are we expecting this to kind of moderate through the next couple of quarters? That I think you said that by Q4 this year we should fully comp that impact? So just to confirm that. And also maybe just like, how should we think about like ex grocer growing 16% year-over-year, how should we think about the exit rate of this business in a more normalized kind of condition?
Karsten Voermann: Sure. Great questions, Jian. Happy to jump in. So we talked a little bit in response to the prior questions about the impact of the grocer issue on 1Q '23, relative to 1Q '22, being in the mid-30s and millions of dollars, just off that delta. So that gives you a rough sense of the headwind we're still continuing to face as we look Q-over-Q or more pointedly year-over-year. I think going forward when we look at where we're going to lap the grocer issue, that will happen in the third quarter since the grocer issue fully manifested in the second quarter of last year. So as of third quarter, we'd expect to lap that issue. And at that juncture, we'll be able to reflect the businesses to a more comparable outcomes without having to call out the adjustments like we did for 1Q '23 relative to 1Q '22. And then subsequently to then that's when you'll see the business performing on an equivalent basis to the prior year.  So in those future periods is when we're really going to be able to show that comparison. And yes, to your point, we have been seeing ex grocer volume growth in the interim and that's been a big plus for us as well to see there volume coming into the business. I think at this point it’s a little hard to parse it to know how much of the volume is shift and how much of the volume is net new, given the grocer has pulled out of the picture. And we'll know more about that too, of course, as we lap the grocer issue in the third quarter.
Jian Li : And then if I may one follow-up on -- probably a bigger picture question on the pharma or advertising the manu sol. So what is required to scale this business? Or maybe asked another way, like what is the kind of the current investment most focused on? Is it adding experienced sales, building a better adtech platform, better measurement, et cetera? So if you could just kind of talk through the investment priorities here. Thank you.
Scott Wagner: Sure. This is Scott and we will follow-up in subsequent quarters on this. But today, there is a series of both awareness programs that are running that are pretty consistent in fixed rate. And then we have got a handful of pretty large volume creative marketing campaigns with large manufacturers that are high-intent, volume-driving programs, that would fall into co-pay, cash back, but they are really a performance related execution and those are just starting or are in flight. And just the ability to both scalable and ramp those kinds of programs naturally within the marketplace, deliver, grow them kind of consistently are just things that we just need to work through. And that's a combination of people talking to our branded partners and making sure that expectations are aligned between the two, which are our account managers and then ad operations, which exists, but again, builds rhythm about how you actually deliver these programs both within our systems are the things that we are just working through the mechanics of. So there is nothing that's super far afield here. It's just the natural part of building a business. 
Operator: Our next question comes from Michael Cherny with Bank of America.
Michael Cherny: Good morning and thanks for taking the question. Maybe if I can just dive in a little bit more on the Evernorth partnership. As it starts to roll out as it gets built into membership base, how easily is it for you to track the discounts that are being applied within that Evernorth base in the partnership? And as you think about the economic impact of that over time: First, is there anything in guidance this year relative to that partnership specifically? And then how do you think about the checkpoints and proof points over the next, I don’t know, 2, 3, 5 years to show if that partnership is driving success that you want?
Trevor Bezdek: Thank you, Michael, for the question. We have been really pleased with the results of our Express Scripts collaboration. As we said in the prepared remarks, this program Price Assure is powered by GoodRx. It contributed to our results coming in above expectations. So this collaboration lets us reach more consumers, it lets us drive greater savings, lets us improve awareness and affordability. Because of our nature of our deal with ESI, we can't speak specifically to a few of the items you mentioned about discounts and such. But when we look at the market size here and how this program can benefit our business, we believe ESI represents over $60 million relevant lives and we don't think we are very highly penetrated into that at this time. So we do assume that this program will continue to work well for ESI and for us. And we assume that will be the case going forward. So we think there is really potential for significant growth. We think this program is just great for ESI's customers and for the consumers involved. And so we are very excited about it.
Karsten Voermann: And I'll follow-up, Trevor as well. Hey, Michael. I think with respect to economics, the main point to make here is, these transactions flow through our PBM network model exactly like any other transaction that flows through our PBM network model. So when I think about on a per claim or per transaction basis, the amount of revenue that's generated, that amount of revenue is identical to the amount of revenue as it would be off the rest of our business. I think the real distinction and one of the reasons we're so pleased with the ESI/Evernorth program is that we've taken a model where we traditionally have to pay upfront CAC and marketing dollars to acquire users. And now we have ESI effectively in a role that's similar to a channel partner routing those lives, transactions, et cetera, to us. So we've taken a model where we've been able to, instead of having to pay upfront for users and variablize it and benefit from that reality.
Michael Cherny: And then just one more quick question. Karsten to you -- I think, Scott, you may have a view. You did 9.5 million of buyback in the quarter. That being said you have almost 140 million left. Obviously, you've noted some of the challenges, disappointments of growth in the stock sell off. Cash position is incredibly strong here and cash flow positive, why not do more faster?
Karsten Voermann: Hey, Michael. This is Karsten talking first of all. so I think there are a couple of reasons here. The first is you have seen us consistently buyback in periods when we haven't had MNPI. So we've been consistent in that approach. You can see the last time as an example of a point when we didn't do buybacks in connection with MNPI where when we did our reduction in force in August of '22 and then around the FTC issue. But in open windows when we can buyback, we have. I think other than that, in terms of the rate at which we're buying back, we're of course subject to certain volume limits on that as well. So we look at this from the perspective of staying within the volume limits, managing the cost at which we're buying back and taking advantage of the open window opportunities that we've had in the past.
Operator: Our next question comes from Stan Berenshteyn with Wells Fargo.
Stan Berenshteyn: You commented on having more direct contracting relationships with retail pharmacies, what percentage of your PTR revenue is coming from direct contracting relationships?
Trevor Bezdek: Yes. We've spoken about direct contracting. The direct contracting with retailers helps us balance our revenue and their margin. And it lets us have these new levers such as the POS incentives that we've spoken about to drive incremental volume. We are focused also in those efforts to ensure retailers don't disadvantage direct. And this has worked really well. This is one of the areas we're quite enthusiastic about relative to what's gone particularly well in the first quarter. In particular, this hybrid model that we've spoken about that ensures network stability, and lets us collaborate just closer with our partners for our mutual success and profitability. So this lets us help the retailers drive their strategic initiatives and improve their unit economics. And it's also maintained the strength of our own economics. And while doing this, we've been able to maintain our marketplace model of PBM and that has continued to strengthen. So this is really all about allowing us to align incentives with retailers to drive incremental volume, which we're really excited about. To your question more specifically about percentages, what I would like to say there is we're really happy with our direct contracting progress and we plan to continue and potentially even accelerate a bit down that path.
Stan Berenshteyn: Can you maybe just walk us through how the economics work on direct contracting arrangements, maybe both on the revenue side and marketing related costs?
Trevor Bezdek: I'll maybe speak and see if Karsten has more to add. But what I would particularly highlight here is we've now been doing this hybrid contracting approach for several quarters, and you can see in our financial results to some extent how that works. And you can see that we've exceeded expectations on that PTR business, and been able to really do a good job of going into this new networking construct with its hybrid networking, making solutions that help our retail partners and align those incentives and also do work for us in our financial results. 
Karsten Voermann: Yes, Trevor, I'll jump in on that one too. So yes, the hybrid contracting is definitely attractive to us, given the points that Trevor made about the wins we get. I think, from an economic perspective, going forward, as Trevor said, allows us to balance our revenue with retailer margins. The other thing it allows us to do is to create incentives for retailers to help us frankly, in terms of driving volume, and we're looking forward to doing more of that. And as we look forward to doing more of that, that may entail some tradeoffs in our part as well.  That said, as Trevor said, if you look at PTR per MAC Q-o-Q even as we've continued to drive more volumes through our hybrid model and direct contracts with retailers, you see PTR per MAC as being stable. 
Scott Wagner: I guess I get to comment over the top on this one, too, because this is something that we'll continue to work and share with everybody on the phone. And I'd say this is either and in the area where Trevor's healthcare expertise, thoughts, is really having all of its energy around this, which is going to be really helpful and we're working right at the hip together to basically have all these things land in a way that's phenomenal for what you call all of our channel partners, but most importantly, continues to add value to the marketplace we have. Like that's the North Star. And all this effort around how we're engaging with retailers and the PBMs is all about, again, having honestly the most valuable prescription marketplace, which is access and affordability around prescription medication.
Stan Berenshteyn: Maybe one quick follow-up. Do you expect MAC growth from direct contracting to be faster, slower versus your traditional channel? Thanks.
Karsten Voermann: I'm not sure. This goes to, I think to your point, which I maybe didn't answer directly last time, so apologies for that around marketing as well. So marketing isn't really impacted at the consumer level by how we end up routing the transaction on the back end. And MAC growth has impacted to the extent that we can drive continued even better pricing through some of our direct contracting relationships. But, broadly speaking, to the extent that direct contracting exists, it doesn't really impact our OpEx structure on the marketing side, or CAC. And it only impacts the volume of users differentially from our traditional model to the extent we secure even better prices during a direct contracting. 
Operator: Our next question comes from the line of Daniel Grosslight with Citi.
Daniel Grosslight: Thanks for taking the question. You mentioned that more of your pharma solutions business will be coming from pay for performance contracts and flat fee this year. I'm curious if there is a structural shift in how pharma manufacturers are contracting with you, and what are some of the performance metrics that are built into those contracts, and what's the upside there to your guidance should you perform better than anticipated?
Karsten Voermann: Sure. Thanks for the question. Karsten speaking here. I think first of all, historically, we have been focused primarily on flat fee deals. And the big piece of that has been because those original deals were for manufacturers first engaged with us were around awareness. And on the awareness side, those deals made more sense as flat fee both for us and manufacturers than they did as more pay for performance. We're now shifting towards deals that are specifically about access to a greater degree. Some of the examples that you can see in that are quite public are ones like the $200 off Dexcom device packages. And those kinds of very, very large discounts where manufacturers are going direct-to-consumers to offer compelling pricing that's often lower than the pricing that they'd receive through whatever other benefit, whether employer or otherwise they'd receive, those are really access versus awareness solutions, giving folks access to these medications.  And that's an avenue, where we believe we can #1 be very successful at driving volume. So we want to capture some of that upside. And #2, where manufacturers are looking to lean in even more deeply, as they go around to some degree the traditional economic models of pharma distribution. So that intersection of us believing we are really good at that, given we have the consumers and the HCPs to drive the volume and drive the action on the cost side. And #2, them being willing to pay more in total on a pay for performance versus flat fee makes that model attractive for us. So I think as we look forward through the rest of the year, we see #1, more of those deals happening in our future. And #2 to your question about performance, to the extent we drive those deals better than we include in the numbers in our guide right now, then of course we will over perform the guide. I think at this juncture, we are just starting down this performance-oriented path. So we are taking a very reasonable approach to how we think about them and we will likely be able to give you an update on the upcoming calls to the extent we are crushing it as we hope we will.
Scott Wagner: Hey, it's Scott over the top. I just -- that was well said Karsten. I think there's one point to reiterate that's important, which is there's two kinds of things that we are talking about here, which is access, low funnel access programs and then awareness. And those can be different, but they are also -- they also work in combination and partnership. And so the way that we are talking to branded partners is #1, #2 and sometimes it's a combination of both. And so the value proposition that we have works in both ways and it's particularly powerful in combination. So we are going to continue to build the business across both those areas. And the Karsten's well put point, there's inflection of volume on some very large campaigns that I think from a growth standpoint, we want to be able to deliver that repeatedly, and do so naturally. And that's the things over the next couple of quarters that we're going to do. But again, it holds a lot of problems.
Daniel Grosslight: And as I’m looking at guidance, particularly keeping EBITDA guidance at 25% margin for the full year, it does imply a bit of margin degradation in the back half of the year. Is that largely due to just decremental margin from lower pharma manufacturer solutions? Because you should theoretically mathematically get a bit of an uplift from this contract counting change and 1Q margins were obviously very strong due to that onetime issue. So curious what's causing that degradation in margin -- EBITDA margin in the back half of this year?
Karsten Voermann: So first of all, this is Karsten speaking. Thanks for grasping the impact of the POS discounts. You're exactly right that to the extent they shift OpEx from S&M into contra rev, margins inherently go up. I think the second point, though, and the more important. One is, particularly as Scott comes on board, and we continue to reevaluate our marketing. You've heard us in prior quarters, say, hey, I think first time was when we were talking in November on our earnings call, we said end of year can be a decent time to spend up because folks on the consumer side are entering into a new plan year, new deductible phases, et cetera. At that juncture, we felt like it wasn't a need for us to spend up then. So we pushed it out a little bit. But I think if we continue to evaluate or opportunities to do marketing and grow the business in a more aggressive way, we want to be able to preserve that capacity and not surprise folks, because we continue to see new innovative ways that really work for us to drive marketing harder. We've seen our paybacks remain consistent with what we've said in the past, so in that eight month range. And we've also seen new opportunities to market really effectively, like for example, the POS discounts, which are working great for us. So from those perspectives, preserving capacity is really important and that's why we're indicating mid-20s.
Operator: Our next question comes from Craig Hettenbach with Morgan Stanley.
Unidentified Analyst: It's [McLeod] on for Craig, thanks for taking the question and congrats on the quarter. I just had two questions kind of piggybacking off the last question on sales and marketing spend in Q1. I know you talked about kind of being selective in Q1. Can you kind of talk about how that evolved over the quarter with POS discounts? And maybe as you go on throughout the year, how you view the puts and takes around marketing spend?  And then maybe one for Scott, as you look at kind of the opportunity set to scale the business, how do you see -- where do you see the biggest opportunities to do so while kind of lowering your CAC as you go forward?
Karsten Voermann: I'll start off and then and then hand to Scott, as you indicated. I think when we look at marketing generally from an evolutionary perspective through the year, they're generally isn't a ton of seasonality to marketing. So it's really discretionary to us. And as we think about it and leveraging our discretion, we're fairly opportunistic. So we look at what's working well and put more dollars behind it. We do that in relation to how much the cost of marketing vehicles shift over time as well as the returns that we're seeing over time, too. You also see us taking approaches that are completely novel like the Evernorth ESI Price Assure offering that we talked about where we shift from using our own marketing dollars effectively to channel model.  So I think in terms of marketing, generally, like I said, in response to a prior question, we're preserving the capacity to do more and more on that front, again, just because our paybacks are remaining consistent, and we view them as really attractive. 
Scott Wagner: You had a couple of different questions in there, let me go marketing and just maybe address then growth levers. So marketing, marketing is an investment here. And this is something that the company in its history has done, what I think really elegantly in times. The thing that I think is particularly clever and awesome is the presence of doctors' offices that historically was the GoodRx card. And if you spend time in doctors' offices, and hear both docs and healthcare professionals talk about it, it's a super natural way to put the value proposition of GoodRx, right at that point of script. And so that's strategic, it's important, both from a brand standpoint of awareness to consumers and docs, and it connects right to that moment with script. That is strategic marketing.  And there's things underway and with marketing to match both the breadth of consumers and doctors, who not only know GoodRx, would love it. And then also to make sure that we're getting the best discount possible to consumers lower down in the funnel. So I could answer this in marketing speak of upper funnel and lower funnel and touch points. But each of those things for GoodRx are really important. It's the historical strength of the business has grown into a really big marketplace with pretty good brand awareness. And it's something to invest in with the biggest eye being effectiveness. And so it's something that we're working on and digging into with the teams and making sure that we're honing in and really trying to hit those points of difference, whether it's discounts in the app or the point of script, presence at the doctor's office and presence at retail. I'd say broadly also -- and again, this is back to GoodRx being a awesome marketplace, that's known and loved by many, but there's still opportunity. It's phenomenal to have been really focused on this because GoodRx's role in the healthcare system, we've got a unique position, and it's something that now even in my early days, I'm proprietary on GoodRx's behalf of feeling more people particularly docs and patients should know about GoodRx. And so, that's just getting the message out into the world about our role and what we can do in the ecosystem. And it's honestly awesome to have force multiplier time to be able to do that. 
Operator: Our next question comes from a line of Jailendra Singh with Truist Securities.
Jailendra Singh: So my first question is around Provider Mode where you have 450,000 prescribers engaging with the company since launch. Maybe provide some details around the engagement level, like which tools have you seen the highest engagement? Is it cost comparison or coupon sharing or news feeds? I'm trying to understand like the scale needed in this part of the business, where you can go to pharma manufacturers to get more aggressive with your bid for launches or campaign. Clearly, you are competing with some other players who talk about ROIs in range of 10:1 for their pharma clients. So trying to understand if -- with the risk of being too early on your pitch in this part of business.
Karsten Voermann: Sure. I'll jump in first here. It's Karsten speaking. So on engagement of providers, we have been very pleased with the performance that we are seeing. Like we talked about on the call, over 450,000 providers who have engaged in their Provider Modes since we launched that. And I think the other point that pleases us and I'm particularly happy about is that we see Provider MAUs or monthly active users doubling between December of '22 and March of '23, so over a relatively short period of time as well, which is important for us. I think the other thing that's important about it is, similar to consumer engagement, engagement with providers really helps.  On the consumer engagement side, we have seen more highly engaged consumers have higher LTVs. We have talked about that in the past. We see the same thing where we can associate more PTR, prescription transactions revenue, claims with a given healthcare provider in correlation with how they are engaged there too, whether they're solely identified providers, we know their NPIs and know they are providers, whether they are providers that have been activated, meaning, we have offered them a chance to join Provider Mode may have accepted, or whether they have fully developed accounts that are completed. So as we look at the engagement levels, we are pleased to see that not only is that driving our pharma man sol business because obviously these folks are very valuable to manufacturers and providers are a big growth vector for us. But they actually drive and we will continue to drive, we expect our base business as well, Jailendra.
Jailendra Singh: Thanks, Karsten. And one quick follow-up on the -- thanks for all the color on 2Q outlook by segment. But can you share your updated revenue growth expectation by segment for the full year? Are those unchanged or any changes there beyond the $10 million POS discount you called out?
Karsten Voermann: At this point, I don't think we are in a position where we'd be sharing more splits on the full year, Jailendra. But you are quite right that the POS discount headwind estimated at about $10 million effectively decreases revenue by that amount, all else being equal. That's totally accurate and glad you captured that.
Operator: Our next question comes from Jonathan Yong with Credit Suisse.
Jonathan Yong: Hi. Thanks for taking the question. Just on pharma man sol, the deals that are expected come in this year, were these original deals that were originally delayed quarter or two ago? And then are there other deals still outstanding which could come into guidance for this year? Thanks.
Karsten Voermann: I think yes to both, Jonathan, is the short answer. We did have some deals that we anticipated might come in towards the end of last year that we are now seeing coming in this year, particularly on the performance side. But the pipeline remains very, very robust indeed. So from that perspective, we do continue to anticipate that we will see incremental deals landing throughout the year as would normally be the case. I think there is a perception that pharma manufacturers lock in spend in late 3Q, early 4Q. And while I think that's generally true, that doesn't mean that they are necessarily specific about what programs that are going to run and specific about the timing of those programs at that point just in terms of general buckets of money. So through the year, we continue to see our pipeline for that year get more and more robust well past the midpoint of the year.
Jonathan Yong: And then just on Price Assure. You said that your guidance assumed that consumers potentially hit their deductibles due to seasonality. But I guess when I think about that, does that mean that there's a bit of a rate limitation in terms of the benefit you're going to see from the Price Assure business and that it should moderate effectively throughout the rest of the year to the point where there's almost a cap on how much growth comes from that business?
Karsten Voermann: Yes, I think that’s a great question, Jonathan. And I think your perceptions are generally right. Meaning that because of the way the Price Assure your program works, it routes the user to whatever is going to be cheaper for that user. And in general, when a user is in a position, where they might be paying a co-pay or deductible, which GoodRx can be, it'll route the transaction to GoodRx and will benefit from as part of our PTR and our revenue per MAC. As we proceed through the year, some of these users may well hit their deductibles, and they may well not have to pay out of pocket costs in the latter parts of the year that are as high as in the earlier parts of the year. So as we look through the lens of that, we view that the ESI collaboration or Evernorth collaboration as potentially decelerating as a proportion of revenue and its claims we see through the year.
Operator: Our next question comes from the line of Scott Schoenhaus with KeyBanc.
Scott Schoenhaus: I just wanted to drill in on pharma behavior you're seeing. In the release, you said you're seeing slight moderation in spending from pharma customers, but then guided to 26% sequential increase in revenues on the man sol segment for 2Q. What's really driving this?
Karsten Voermann: So in the man sol side, I think from a macro environment perspective, we are seeing generally a deceleration. I think on the flip side, you also see pharma manufacturers talking about the growth in digital spend. We're hearing that from our customers, we're also seeing that in the general market research that talks about digital growth, growing potentially in the double-digit, so materially higher than base pharma man sol spend. That said, we do though believe that the biggest determinant of our success is what we do here. We're a very small proportion of the overall TAM right now. Again, 30 billion TAM all in, split between consumer and HCP. And in that context of the really big TAM, we think the actions that we drive are the absolutely most important ones here, as we continue to take share. That's why we see the potential for growth up to $26 million in revenue from pharma man sol just in the next quarter, which is more revenue than we did in the whole of 2020. So from that perspective, I think, as Scott said, we've got a highly engaged, highly confident, highly energetic sales team that's going out there and driving this part of the business. And we continue to see and expect sequential growth from it as we drive through the rest of the year. I think no question there.
Scott Wagner : I'd like to maybe characterize, state of play again, and this will be a repeat of remarks and comments that I think is helpful on that question. There's a lot of value here at GoodRx around, again, the marketplace we have for generic and branded drugs, and matching those drugs to patients in a really effective way. That's what we're doing. And the man sol program that we're talking about are things that we can do in partnership with branded pharma.  And if we were sitting at a enterprise technology company now, rhythm and pacing of programs and spend over time would have flow to it in terms of big deals and what gets booked, and how does it ramp within the system. And, if you go through those laps to be able to get to that level of predictability -- and I know everybody's kind of questioning and thinking about it. But really, this is the new guy. My observation is, we're just at that point where there's real proof points here. And now that work is about intelligently scaling it and part of that is your -- not just your pipeline but then once that pipeline lands, how do things ramp up, right, and everybody wants that to be rhythmic and predictable and you get to that point, and we're right at this point within GoodRx where we're kind of building those muscles. That's not super hard curing cancer type stuff, you just run through, you run the laps a couple of times and get there, and we're going to get there.
Scott Schoenhaus: And maybe as a follow-up there, as you're trying to grow this business, take market share, and kind of smooth it with more recurring contracts, are you seeing any shifts from the behavior of pharma clients this year versus prior years in terms of midyear upsells or more onetime lumpier ad campaigns? Just trying to get an overall sense of the market this year versus the end of the pandemic years? Thanks.
Trevor Bezdek: I think when we look at the market this year, we, again see manufacturers -- we see manufacturers from a spend perspective be more paid, I guess, is the right word. So we talked on earlier calls about deals taking longer and spend being spread over more time. As we work through these with our counterparties at the manufacturers and I think we continue to see that reality taking place now as well. So from that perspective, I think on a year-over-year basis, what I'd point to most is a change in sort of the aggressiveness of timing and how fast they go from talking to us initially to actually having a deal in market producing results and therefore recognizable revenue for us. I think that's still thematically what we're seeing at this point.
Operator: Our next question comes from the line of George Hill with Deutsche Bank.
George Hill: And I will go with just one here. I guess it sounds like the pharmacy relationships are becoming more important to you guys that are contracting. I guess, can you talk about the competitive environment for those relationships? And I can't imagine that any of the retailer relationships are exclusive. So how do you differentiate and make sure that you guys wouldn’t have a pharmacy counter?
Trevor Bezdek: I appreciate the question. Maybe I'll speak a little bit just broadly about competition and then try to kind of narrow in on that nuance of it. When we look at the competitive marketplace, we don't think that competitors that are out there in various different PTR or even pharma man sol are affecting our growth rate here. We deliver a great product. We believe that, we are still the market leader, we believe we have the best pricing in market. Specifically, our last analysis indicates that for over 87% of the top 30 prescribed medications or top pharmacies, we have the best price. And so that's why so many providers refer patients to GoodRx, that's why we have an NPS of 90. We have a product that really, really works. And so we continue to have great strength there. And as we talk more specifically about the hybrid contracting strategy, we are just going out there, making these relationships and letting -- using them to take where we are selling, where we have the best brand recognition, where we have the best product, where we have the consumers and providers who love us and help our retail partners to drive incremental volumes in ways that work for them, help them drive new programs, take sort of innovative things like what we are doing around pricing and the point of sale incentives, to be hyper focused on specific consumer segments, and bring that all to market so that we can be in the best position and really help this -- both consumers and the partnerships.
Operator: Our next question comes from the line of Dylan Finley with UBS.
Dylan Finley: Yes. Thanks guys for taking the call. One question I don't think was hit on. So you mentioned Karsten that core growth ex-Kroger was up 15% and sounds like net of the contra revenue impact, would be up another 1 point or so from there. That’s I guess, double where you mentioned that you were growing last year ex-Kroger. I was mainly wondering what the delta is here. Why is the core growth in PTR growing faster? And is that sustainable on an ex-Kroger basis through the year?
Karsten Voermann: Thanks for the question. Yes, I think when we look at volume across pharmacies, ex-grocer we see the growth being up 16% year-over-year and 3% Q-over-Q. I think that's what you're referencing. I think looking forward to when we lap the grocer issue and applying the 16%, which I think last quarter was 12.5% if I recollect correctly ex-Kroger -- ex grocer growth. In that context, I think we caution then too that, simply using that wild ROI growth rate may be a little aggressive, because it's a little difficult to parse out how many of those users are truly incremental versus maybe switch from the grocer to a different pharmacy. So I think we are not forecasting that the growth rates for prescription transactions revenue as a whole, will be anywhere near that high of 16% Y-o-Y represented by the non-grocer pharmacies' growth into 1Q of '23. Is that helpful?
Dylan Finley: Yes. You think the beat there the 15%, 16% versus like a high-single-digit is related to still a little bit of Kroger capture?
Karsten Voermann: Yes, I think the volume growth, I think we'll includes both new users and also that. And I think the other reality too is, like we talked about in response to an earlier query, there are elements of the PTR business, like, for example, the Evernorth piece of it, whereas we had deductible phase, we potentially see decelerations of those parts of the business. They're quite small at this point still, but nonetheless, should probably note that.
Scott Wagner: It’s Scott. Two things on your question. One of which is the fact that retail shift relative to volume either at a grocer or not, is, again reinforces the value proposition of GoodRx. And the importance we play. The nature of that question what you're looking for, and then people in the outside world is, hey, give me the range of once retail is off and it's the importance of all of the retail efforts that are underway, which is, once that's cleaned up, hey, the volume range of the business rhythm is at what? And then what are the growth areas to build that volume out, based on deep value proposition and consumers and drug modalities and kinds of healthcare plans and where's that intersection? So, if you're looking for a theme in the core business around efforts, whether it's discounts at the point of sale or expanding GoodRx into more insurance use cases, it's again, with that macro North Star value proposition that's allowing us to fill more prescription medication, right? And step one is making sure that that's available at every retailer. And once we get that set up, then you can get more precise about your own expectations and performance on both volume and revenue for what that business looks like going forward.
Operator: Our next question comes from Steven Valiquette with Barclays.
Steve Valiquette: Let me also offer my congrats to Scott on joining the company. My question is really kind of more at a high level, just with some of the PBM reform legislation making the rounds that will potentially eliminate the ability for many PBMs to make any spread profits on retail prescriptions. So I was curious whether or not this is prompting any PBMs this year in 2023 to reach out to GoodRx and want to potentially increase their volume with you guys going forward in the cash portion of the retail market, just to still try to capture some profits on retail related scripts? And I guess somewhat tie it into this, just looking for any update on the outlook for GoodRx take rate for so much '23 but really kind of thinking beyond '23. Could there be any shift in the fees with the PBMs really in favor of GoodRx might it be evolving environment?
Trevor Bezdek: Let me speak just generally, maybe for the regulatory side, and then also speak to that aspect of the PBM. Since we founded GoodRx 12 years ago, we've seen a lot of proposals, ideas, policies, cross administrations. To some extent, we've spoken about regulatory environment in every earnings call as a public company. We are helping bring improvements to consumers' wallet to affordable prescriptions, in this affordability and accessibility in ways that I think are in line with what all parties want here. When we look specifically at the Inflation Reduction Act, we do not expect a material impact on our business from it. A lot of that focus is on the negotiation of price for a relatively small group of higher cost drugs. And so relative to our PTR business, we don't see any meaningful impact that would have or to the nuance, you mentioned, around how potentially PBM contracting could evolve because of regulation. We don't expect any meaningful impact on our PTR business, and -- or also on the pharma man sol business.  So we continue to work with our PBM partners, we think that marketplace has just grown stronger. And most of all, I would say, we're just really proud that, we've taken a market based solution that we've put in place that has saved consumers over $55 billion to date. And this has helped consumers.  Relative to the PBM specifically, I don't think there's specifics to speak to there. But I don't expect any meaningful changes to take place in any of the aspects you mentioned, because of regulations.
Operator: Our next question comes from a line of Robert Simmons with D.A. Davidson.
Robert Simmons: I was wondering, can you specify the impact of one time deals on pharma 1Q versus 1Q?
Karsten Voermann: Sure. So when we look at our historical period and looking at pharma manufacturer solutions, and one time deals, which we define as deals we're taking revenue from a given counterparty once and then they haven't come back, and so one time, but I think there's maybe need to clarify that a little bit, those amounts are in the millions of dollars and have been previously in early quarters. So as we shift away from that, we see deltas of again, millions of dollars of revenue Q-o-Q.
Scott Wagner: And philosophically, my head is this, this is all a natural part of building up a business. So it's figuring out what really works for both our partners and us in a highly repeatable way. It's just the natural part of building up the business.
Operator: I'm showing no further questions in queue at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.